Operator: Good day, and welcome to the DISH Network Corporation Quarter Three 2017 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Jason Kiser, Treasurer. Please go ahead, sir.
Jason Kiser - DISH Network Corp.: Thank you. Well, thanks for joining us. This is Jason Kiser, joined today by Charlie Ergen, our Chairman and CEO; Tom Cullen, EVP of Corporate Development; Erik Carlson, President of DISH Network; Steve Swain, our CFO; Paul Orban, our Controller; and Tim Messner, our new General Counsel. So before we open up for Q&A, we're going to do our Safe Harbor disclosures and Tim take that.
Timothy A. Messner - DISH Network Corp.: Thanks, Jason, and good morning, everyone, thanks for joining us. A few reminders as we begin. First, we ask that media representatives not identify participants or their firms in your reports. We also don't allow audio taping and ask that you respect that. All statements that we make during this call that are not statements of historical fact constitute forward-looking statements, which involve known and unknown risks, uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors, please refer to the front of our 10-Q. All cautionary statements that we make during the call should be understood as being applicable to any forward-looking statements we make wherever they appear. You should carefully consider the risks described in our reports and not place undue reliance on any forward-looking statements, which we assume no responsibility for updating. With that said, I'll turn it over to Steve Swain, our CFO.
Steven E. Swain - DISH Network Corp.: A couple of quick comments on our subscribers. During September, Hurricane Maria caused extraordinary damage in Puerto Rico and the U.S. Virgin Islands, which resulted in widespread loss of power and infrastructure. Given the devastation and loss of power, substantially all customers in those areas were unable to receive our service as of September 30. In an effort to ensure customers would not be charged for our services, we have proactively paused service for those customers. Accordingly, we removed approximately 145,000 subscribers from our third quarter ending Pay-TV count. This adjustment represents all of our subscribers in Puerto Rico and the Virgin Islands. In the 50 states, net Pay-TV subscribers grew approximately 16,000 in the third quarter. This growth included the impacts of hurricanes Harvey and Irma. Combining the onetime removal of 145,000 subscribers in Puerto Rico and the Virgin Islands with the 16000 net additions in the 50 states, Pay-TV subscribers declined approximately 129,000. Please note, in order to reflect the underlying trends in the business other metrics including gross new Pay-TV subscriber activations, net Pay-TV subscriber additions or losses and Pay-TV churn rate were not adjusted for the impact of Hurricane Maria. In the week following Hurricane Maria, we have been focused on disaster recovery efforts such as setting up satellite Internet at hospitals and FEMA registration sites. Over the next year, it is our goal to economically reconnect to the majority of our subscribers in Puerto Rico and the Virgin Islands. However, we cannot predict when customers will be able to receive our service or how many may return to active subscriber status. In light of the situation, we expect to incur certain installation expenses in connection with reactivating our returning customers. For that reason, any returning customers will be recorded as gross new Pay-TV subscriber activations for the period in which they return. Lastly, while we expect to have lost revenue and additional expenses as a result of Hurricane Maria, we do not expect them to have a material effect on our financial position or operating results. With that I will open up the call to Q&A. Operator?
Operator: Thank you. We'll take our first question from Philip Cusick with JPMorgan.
Philip A. Cusick - JPMorgan Securities LLC: Hey, guys. Thanks. I guess first Charlie could you talk about the wireless space in what looks like a long term for player market. How does that change your strategy around your spectrum and your ability to drive partnerships going forward?
Charles William Ergen - DISH Network Corp.: Well, I think it doesn't change anything too much other than perhaps there's a few more options on the table for us. But our vision of it really is that the wireless network of the future is more of a connectivity network and it's not just about people and going to phones and tablets, but it's more about connecting microprocessors and things in addition to connecting people. And so there's going to be obviously hundreds of billions of things connected. So the – because there's a paradigm shift in the technology, particularly within 5G to connect a lot of things and because there are paradigm shifts in almost and disruption in almost every industry that we see out there and based on the fact that probably everything that people on this call have invested in need – those companies need massive connectivity in the future. We have an opportunity to build a network that does that and it would be I don't know exactly what the right analogy is, but again it's a bit like starting an airline – you know it'd be like you be in the 1950s – be like being back in the 1950s and starting an airlines with all jet engines instead of having to start an airline with – instead of have an airline with a bunch of prop planes that you slowly upgraded to jet engines. So we have some advantages there. Technology is all about timing. And we were very fortunate to hit the satellite television market when Congress had passed a law that cable programmers had to sell to us and that the technology was – had gotten good enough to build big satellites and the digital compression. MPEG 2 was actually – actually worked not just in the laboratory but worked for consumers. So that – we hit that at the right timing. For wireless we think we hit that the right timing as 5G comes about and as connectivity becomes greater – a greater need for companies. And the people in the business today have really good networks for voice and design for voice, but they haven't and they can't overnight upgrade their networks to connectivity networks. They'll get there over time, but they're changing the tires on the car going down the highway at 100 miles an hour and that's always difficult to do. Whereas we get to do it from a blank sheet of paper. So, and we think we have a few more options today. But we – no matter what we've always thought we'd be in a very competitive market.
Philip A. Cusick - JPMorgan Securities LLC: Thanks, Charlie.
Operator: Your next question from Walter Piecyk with BTIG.
Walter Piecyk - BTIG LLC: Thanks. Charlie, have you started any dialogue with the – or your designated names starting a dialogue with the FCC on – following that court order that came out?
Charles William Ergen - DISH Network Corp.: We have made known that we're ready and available to talk to the FCC whenever they're ready to engage. So – but again those – I don't know how – I don't know whether that will be in a public forum or a private forum. So I think that's going to be up to the FCC to decide. But obviously, we're encouraged that the court saw it kind of like – I think, I saw it, which is that historically, there's always been an opportunity to cure – if in fact, there was a control issue, there's always been an opportunity to cure that on a fair basis. And we were disappointed that we were denied that opportunity by the previous administration.
Walter Piecyk - BTIG LLC: Thanks. Also can you tell us if – I know you guys oppose the AT&T-Time Warner transaction. Has at DOJ come back to you in the past week, and I don't know what the proper terminology is, but I guess, trying to get the deposition out of you in preparation for the suit or a suit?
Charles William Ergen - DISH Network Corp.: Nice try, but we're not going to comment on that.
Walter Piecyk - BTIG LLC: Okay. And then just lastly, I guess, ops slice, Pay-TV business, the traditional, the sat business excluding Sling, I know you don't give out the individual numbers. But was the subscriber loss there better or worse than last quarter excluding the 140,000-plus hurricane impact?
Charles William Ergen - DISH Network Corp.: And Erik may want to jump in on this, but in general, the – I'd say it this way. I think when I came back as CEO, probably the first thing I saw was that in an effort not to disappoint Wall Street, we did things that weren't – we didn't treat each customer economically. And we did things that we probably – we took on customers we probably shouldn't have. We gave big deals that we – free programming, things that we – probably weren't long-term economical for us. So really focused on the first – probably six months when I came back, that's the first thing we focused on. And I think we – I think we as a company, got – maybe got ahead of the curve a little bit before other people did. And so Erik and his team have really stabilized. Linear TV has still got issues and still got problems, in part because of the way programmers continue to raise rates, while they have declining ratings and they have too much advertising revenue. But having said that, the content's still really, really good. So it – to some degree, it's fixable with rational people starting making more rational long-term decisions. And so we were able to – we've been able to stabilize our core business a little bit better, even though it's a shrinking industry. It just continues to be a shrinking industry. And we're also – we also have a bit of a floor in the sense that rural America is still a strong part of our company. And we have programming designed for rural America, and we have a lot of our distribution designed for rural America. And so I think we've taken some of the hard licks. And not to say that – I'm not saying it's a linear business or growing business, but I think we're on firmer foundation than we were a couple years ago. Erik, do you want to – and not only the video business, other parts of our business, so...
W. Erik Carlson - DISH Network Corp.: Yeah. I don't think there's too much to add there, Charlie, other than obviously we've taken a much more disciplined approach to satellite TV. And Charlie pointed out a more rural strategy, but also just a more disciplined strategy on obviously how we go about either acquiring or retaining customers. And I've talked a little bit about this in the past. But, obviously, on the retention side, it's really having programs in place to help right-size customers, versus just giving folks credits and having a discipline about which customers you're willing to kind of reinvest in or save. So whether it's our Flex Pack, which gives customers choice, so we're not subsidizing television for the programmer and the customer. And a Flex Pack take care of you, (12:34) all three customers win. Whether it's going to customers that already have an off-air antenna and get broadcast and allow them to integrate off-air with obviously satellite TV. And that integration occurs in the guide and search and all that kind of stuff. And obviously they can drop their locals and save a bit of money. That also helps to right-size. And then on the operational side, I mean, we definitely have improved, not only our discipline, but our ability to execute. And kind of a combination of those things really help us to, I think, have a longer tail on the linear satellite TV business. But it's we have focus and it's not easy. There's a lot of competition out there, and price value with OTT is obviously, it's growing, so...
Walter Piecyk - BTIG LLC: Got it. Thank you.
Operator: We'll take our next question from Vijay Jayant with Evercore.
James Ratcliffe - Evercore Group LLC: Morning, it's James Ratcliffe for Vijay, and two if I could. First of all on the Pay-TV business, can you give us any color about where you're seeing the customer base from the virtual – at Sling coming from? I mean AT&T I think mentioned they thought only about 10% of their DTV Now customers were coming from DTV or U-verse. Are you seeing a similar trend, where the vast bulk are coming from the outside of the existing DISH platform? And secondly, on the wireless side. Charlie, can you talk about any changes you've seen in the relative appeal or cost of adding wireless capacity through more spectrum versus through densification? Because it certainly seems like you're seeing players like Verizon pushing very hard on the densification front. Wondering if you're seeing any change in that dynamic? Thanks.
Charles William Ergen - DISH Network Corp.: Yeah, I'll take the wireless side of it. There's – it's not as simple as looking at kind of spectrum and maybe macro spectrum versus densification. Verizon was in a situation where they had to densify because Voice-over-IP, as opposed to – it requires a little bit denser network than GSM or CDMA. So there was already – but because of their millimeter wave acquisitions, that requires really, really, really dense network. So there's a bit more strategy to what they're doing than would be maybe normal in a network. I think the key is going to be – I wouldn't densify for – I think there's not – I think as a general rule, as a general rule, it's going to be easy – it's going to be less costly and less OpEx, CapEx, and long-term cost to have spectrum versus densification. The second thing I would say that even if that wasn't true, additional spectrum gives you another bullet in the gun long-term that you can always densify. The problem is that densification has limits. And so if you don't have enough spectrum, core spectrum going in, and you densify like crazy, and you still have connectivity needs in the future, you don't have any – you've reached the limit of densification. And so, the first small cell cost X, but when you get to the 10th small cell, it's not nearly – the law of physics today, you're not – it's not really effective at all and it cost 10x. And so, it's – as a financial – former financial analyst, I think that those are – and then you end up a lot of costs with signal processing to reducing interference. So you hit us with a bunch of costs, you go look at the total system design. And as a generalization, I would say that I believe, strategically, you're better off with additional spectrum. And worse case is, you – even if I'm wrong, you can always densify in the future, whereas if you bet everything on densification, you are definitely in deep trouble if you run out of capacity. So – and it's a bit more involved in that because you're starting to hear things about NFV and virtualized networks and virtualized cores and things like that. Those also play a role and, to some degree, to get to that technology, you've got to have a little bit more densification. And you're starting to hear about storage. At the edge, you need a little bit more densification for that. So there is a method to the madness of densification. So – but you've got to look at it as a total system. And look, when you talk to Wall Street, your company, you don't always tell everybody everything. Because some part of your story is good and some part of your story is not so good. And it's up to you guys to go separate the wheat from the chaff. And on Sling, does anybody want to – do you want to take Sling, Erik?
W. Erik Carlson - DISH Network Corp.: Yeah. I think – look, traditionally when it comes to kind of Sling TV service cannibalizing the DBS service, from a geographic perspective, we've been focused on different areas, right? Charlie and I alluded to the idea that DBS traditionally has grown up kind of in rural America. That's where our strengths are, that's where our focus continues today, that's where our distribution is. And so, generally, for Sling obviously to work, you need broadband. And so that points you more towards at a bit of an urban, suburban type profile. And so, we're not seeing – just based on our targeting strategy, we're not seeing a ton cannibalization on the Sling service to the DBS service.
Charles William Ergen - DISH Network Corp.: Yeah. And I would just add that our vision of OTT was to go – I felt like that we, as an industry, lost an entire generation of people in Pay-TV. And it was difficult until Disney made a kind of a courageous choice at the time to say, we'll do OTT. Everybody else kind of liked the idea of OTT, but not unless everybody else did it. So there was not a lot of leadership until Disney came in. But our goal was to go get back and get that generation that we've lost in Pay-TV. It is a – so there wasn't much overlap in between Sling and DISH at all initially. That trend is changing slightly whether it's a bit more overlap as things like DIRECTV NOW coming to the marketplace which is really a replacement for cable, really it's almost cable – exactly, cable just an OTT format. So – and then people like YouTube and Hulu and others. So that is now a – now OTT is going more mainstream. That may be a good thing or a bad thing, but it is changing. And we're still – and so we'll change with it, obviously.
James Ratcliffe - Evercore Group LLC: Great. Thank you.
Operator: Your next question from John Hodulik with UBS.
John C. Hodulik - UBS Securities LLC: Okay, great. Thanks. Could you guys talk about competition in the live streaming market? It seems like YouTube, Hulu, and DIRECTV NOW have all gotten a little bit more aggressive in trying to increase their profile. Has that affected the sort of growth rate that you're seeing at Sling? And then, Charlie, getting back to that point where you talked about the sort of evolution of the wireless market, do you think that live streaming TV returns the sort of live TV bundle to growth, sort of similar to what Fox was saying last night or do you expect a decline in the overall number of Pay-TV subs going forward? Thanks.
Charles William Ergen - DISH Network Corp.: Well, you're correct. There is a tremendous amount of competition in the OTT space. I mean, there is probably approaching a dozen companies, some – when you start putting Google in there and then Hulu, of course owned by the content providers themselves, there's certainly a tremendous amount of competition there. Having said that, it's still going to boil down to – and not everybody's selling exactly the same thing. And so what's going to happen is that the market's going to get more fragmented. And as a result, that's consumers will have some choices. And not only will they have choices, but they can move between packages with a click of a button on the Internet. So I think that that's going to be tricky for content providers because not everybody has to buy sports programming. Not everybody has to buy NOW, whereas in traditional linear bundle, there was a 90% chance you're going to have to buy a sports bundle. That's not the case in OTT and certainly not the case probably where OTT goes. So I think it's going to be tricky for content providers, because the market gets a little bit more segmented. There is better advertising opportunity because it's a unicast and we can do an interactive ad to consumers. I think that the content's gone – beyond traditional content – I've always said that the people who have had skin in the game, who launch satellites or built cable or built fiber were going to – would take a bit – a different approach to actually run programming as a profit and loss. As you get into things like YouTube, they make their money on data. So they would not necessarily – they want eyeballs, they don't necessarily care about security and piracy as an example, as much as say DISH, where we have our own in-house force to look at people who are pirating things. We have 85 boxes in our lab today that steal programming on the Internet from companies, right? That's not something that the content owners anticipate and they don't totally understand it, so they – but they understand they get a contract and they get a headline and maybe their stock goes up for a week, but they don't understand the unintended consequences. So I think there's some real potential problems out there. Having said that, and also now gets people thinking about on the – linear TV is not dead. And linear TV is suffering declines, in part because it's not as good a product. It's more expensive. Rates have gone up while viewership goes down. And probably the worst thing is that the commercial load is so – so you're talking about 30% of the viewing minutes are commercials, that's an unhealthy consumer experience. And so, there's things we could do as an industry to change that. And if the industry starts thinking about creative ways to compete then that marketplace can stabilize a little bit. And so we have a good feel for it. We understand the industry pretty well. We understand the piracy side. we understand the consumer side. We understand the profit, P&L side of the business pretty well. We understand the technology side of the business pretty well. And so we think we can offer solutions to people that can make our industry a little bit better. And we think we're well positioned for that. But how people go and what people think short term or long term or decisions they make, we're not the person who deals with that. We're not the bigger company. So we play the cards that are that dealt to us, and we think within the video business that we still – that that's a real good business and has – the content has – and the distribution system for content has a lot of legs. And we're involved in the satellite side, we're involved on the broadband side with OTT, so we're well positioned there and we're certainly well-positioned for the connectivity side and wireless long term. Not many companies can say that.
John C. Hodulik - UBS Securities LLC: Right. Thanks, Charlie.
Operator: We'll take our next question from Brett Feldman with Goldman Sachs.
Brett Feldman - Goldman Sachs & Co. LLC: Thanks. Just two questions. And the first one is just to clarify around the suspended accounts in Puerto Rico and the U.S. Virgin Islands. The way I heard your remarks, it sounds like all of the financial impact of that is going to begin occurring in the fourth quarter. But I was hoping you can clarify. Were there any revenue credits or revenue reserves at all in the third quarter? And then on the cost side, as you suspend these accounts, that mean that you're not going to be paying and incurring the programming expenses? And then the bigger picture question I have is, on the last call, I believe it was the last call, you were talking about how it taken a really long time to develop the advertising platform at Sling, but you really felt like you were starting to get it. And I'm just curious if you could give us some view here on how you think the addressable advertising opportunity is going to start scaling at Sling, and if you're getting to a point where you think that's going to start factoring into the revenues of that product in a more meaningful way? Thank you.
Steven E. Swain - DISH Network Corp.: Yeah. On the first question, because the hurricane was on the 19th and 20th of September, we did have a slight revenue adjustment in the third quarter, both to us as well as the customers. And then, you're right. If we don't have paying customers, we don't pay programmers. So that's just the way that works.
Brett Feldman - Goldman Sachs & Co. LLC: Got it. Thank you.
Charles William Ergen - DISH Network Corp.: But you can run the math. You lose – 145,000 customers going to pause, and you – what's our ARPU? $87 a month, might be a little bit less in Puerto Rico. But you can see the impact of that till customers come, on the revenue side. Right?
Brett Feldman - Goldman Sachs & Co. LLC: Yes.
Charles William Ergen - DISH Network Corp.: And then, we don't have the cost for that customer, right? So – but you could probably extrapolate the impact. Having said that, we believe that that's not a long-term material impact on us.
Brett Feldman - Goldman Sachs & Co. LLC: Got it.
Charles William Ergen - DISH Network Corp.: In fact, to some degree, there's a bit of an opportunity in Puerto Rico, because I think Liberty Global, who's the cable company in Puerto Rico, I think they just – that they don't know that that – I mean, I'm guessing that they're devastated as well as we were. And they haven't disclosed yet the impact other than – they kind of counted their customers as through August 31. So they don't know the – they don't probably don't know the – they probably know the impact now, but they probably didn't know the impact when they reported. So those customers are going to take a long time to come online. And satellite's a little bit easier to bring online than that. So there could be some opportunity for us, but it is – that island is devastated, and it's – we spent a lot more time on the humanitarian efforts than on the P&L side of it at first, which I think – I'm proud of our guys for doing that.
Brett Feldman - Goldman Sachs & Co. LLC: And on the addressable advertising?
Charles William Ergen - DISH Network Corp.: A majority of our – some of the programs have been a bit slow, but the majority of our programs on Sling now have dynamic ad insertion, where we can stream an individual ad. And again, as we get better and better at that and as the tools get better and better at that, that's going to be something that continues to go – grow from a revenue opportunity for both programmers and us. And I think that we're on the leading edge of that technology, and it's certainly not easy. But as programmers see some of the results, they're getting more excited about that. So it definitely is one of the keys to making OTT profitable.
Brett Feldman - Goldman Sachs & Co. LLC: Okay. Thank you.
Operator: We'll take our next question from Marci Ryvicker with Wells Fargo.
Marci L. Ryvicker - Wells Fargo Securities LLC: Thanks. I have two questions for Steve and then sort of a big picture for Charlie. So, Steve, given pressure on EBITDA at the core DBS business, I guess how do you stay comfortable with your leverage and paying debt down? And then as a corollary to that, how can you keep free cash flow stable? What are the puts and takes? And then the bigger picture question for Charlie, I'm just going to ask you what I get asked. At the current stock price, you're either getting spectrum at a massive discount, or there's negative equity value for the DBS business. So what do you think the market is getting wrong?
Steven E. Swain - DISH Network Corp.: All right. So, Marci, the – your first question on DBS pressure, leverage, free cash flow, it's all kind of combined. We do look at fundamentals. As Charlie mentioned, with the backdrop of traditional Pay-TV distribution maturing and now declining, we're laser-focused on cash flow. I'll go through the different products that we have, satellite, Sling TV and dishNET, and how we look at it 2017 and going forward. For DBS, as Erik and Charlie already mentioned, we're acquiring and retaining higher quality subscribers in rural geographies where we see less bundling pressure. And we are more disciplined on retention core credits, as well as we are executing on several cost initiatives to offset some of the programming price increases. We're also right-sizing our customers into skinnier packages. Erik already mentioned Flex Pack. And we're also – we've also introduced the Hopper and antenna solution, where customers can drop locals and save. Lastly, to partially offset some of the EBITDA pressure that we see on DBS, we're spending less on PP&E CapEx by using more remanufactured boxes versus buying new. Looking at Sling TV, we are seeing ARPU and margin expansion. For example, Charlie already mentioned this, we're seeing ARPU tailwinds from increasing addressable advertising revenue, as we have more and more channels available for sale for addressable advertising, as well as incremental products like DVR. And as you would expect, Sling TV is certainly gaining scale as it grows. dishNET, we've pivoted from the wholesale model where we are now seeing a very modest P&L favorability due to lower acquisition costs. Looking at beyond operations into interest payments and taxes with incremental debt year-over-year primarily from low coupon convertible bonds, cash interest expense is up on a year-over-year basis. But cash tax, without a sizable taxable gain from derivatives, like we had last year, with lower 2017 pre-tax income, higher cash interest, and planning for the incremental tax deduction from amortizing our newly acquired 600 megahertz licenses, we are expecting to pay significantly less cash tax in 2017. So because we're focused on cash, we are comfortable that we'll have the flexibility as we hit maturities, which are spaced out nicely over the next several years, that we'll have the flexibility to pay those maturities off or have flexibility in the market.
Charles William Ergen - DISH Network Corp.: Yeah. And this is Charlie. I don't know that the marketplace is getting anything wrong that in the sense – I think it's more of a question of short term versus long term. I think if you looked at – if you – and so what – I used to be a financial analyst, and so when you – and I always – the guys here all know, I always teach that you look at the numbers. And then you take a step backward and look at all the other factors. I call it outhouse logic. But you look at all the other factors that affect it. So as an example, if you're around a bunch of aerospace engineers, they would say a bumblebee can't fly. Because look at the aerodynamics of a bumblebee. I look at outhouse logic and say, I see it flying, I'm pretty sure it flies. And so if you look at the math in short term, maybe we're fairly valued. Maybe we're overvalued, I don't know. But long term because, first of all, our video business – we probably don't get as much credit for our video business as we should. It's not dead, it's still a very, very profitable business, and there's things that the industry can do to continue to do that if they move in that direction. And then the connectivity side, people underestimate just how – there is an – I've never talked to a CEO in the last – CEO for any company, including Fortune 500, who doesn't need massive connectivity to do it. And there are companies that are worth over $500 billion today, one worth almost $1 trillion, that they don't have a business unless they're connected. And their debt – that'd be a scary position if your whole net worth was – if most of your profits were based on connectivity and you don't have any more insight into it today. And if you want to keep that connectivity, and you want to reduce your cost and be more efficient, you're going to have to get to more – you're going to have to move from the cloud to the edge. And when you do that, wireless connectivity just plays a bigger part. And you name it, whether it be artificial intelligence or virtual reality, autonomous vehicles or industrial or municipalities or healthcare or consumers and homes and everything else, the efficiency gains, the connectivity and from what we're going to be able to do within a 5G technology is going to be massive. And they are going – the next big $500 billion company is going to come out of connectivity.
Marci L. Ryvicker - Wells Fargo Securities LLC: Got it. Thank you.
Operator: We'll take our next question from Tom Eagan with Telsey Advisory Group
Thomas William Eagan - Telsey Advisory Group: Great. Thank you. On Sling, could you give us a little color on what's happening with churn? Is that increasing or decreasing? And what have you found to be the drivers of the churn? Is it the quality of service? Is it sampling? Is it folks that were looking for certain channels? And then I guess more strategically, you talked about targeting certain markets. Could you give us a sense of which broadband provider most of your Sling TV subscribers use? And has that changed over time? Thanks.
Charles William Ergen - DISH Network Corp.: Yes, I don't – I'm not sure we know the broadband providers. I mean, it would typically skew pretty much what you see in market share with cable industry having a bigger – the biggest piece of market share. And we probably track almost – virtually identical to the market share of the cable guys versus, say, the phone guys. The churn is, I think the biggest – not surprise to us, but the biggest kind of lesson learned is that churn within OTT is much more seasonal than it has been in linear TV. For example, if you are a college football fan, you're probably are going to subscribe to – but let's say, you're not a big NBA fan or a hockey fan, you probably are going to subscribe to ESPN for September, October, November, and December. But you're probably not going to – you're probably going to – you might go to a different package or a different OTT provider for the rest of the year. I mean, if you're a big Game of Thrones fan, but not necessarily – and you have Netflix, you'd probably be an HBO subscriber for six weeks out of the year, but you don't – you've got plenty of movies on Netflix, so you don't – so maybe you switch or maybe switch between Showtime and HBO, depending on the series. So obviously, there's things that content provider can do to have content throughout the year, and I'm sure they're working on those kinds of things. But there's a bit more seasonal approach to it, and I don't think we totally understand that but we know that that's there. And then obviously, you're going to have to have good user interface and good technology. In other words, consistent service, which is extremely difficult to do for live TV when you don't control the Internet, the public network, it's – that's extremely difficult but you have to have a rival service, and those are factors that we see from consumers.
Thomas William Eagan - Telsey Advisory Group: Is there anything that you guys can do on Sling in terms of the programming to lower the churn?
Charles William Ergen - DISH Network Corp.: Well, I mean – yeah, I mean, I think we need content that is relevant to people all year long, and then make it – and then provide a consistent service and a user interface that's easy for customers. When they go somewhere else, the grass looks greener, but they come back because the other system doesn't work as well, right? Or we have content packaged in a way that the other person doesn't have it. So it's – I will say that today, there's three or four of the biggest guys, not named Sling, look pretty much alike. And I think that, that – so they get a buyer for the same customer. We look a little different with Sling. We actually have three packages for people, and we look a little different. And so we're not attractive to some people but the majority of people, I think, like what we have.
Thomas William Eagan - Telsey Advisory Group: Great. Thank you.
Operator: We'll take our next question from Craig Moffett with MoffettNathanson.
Craig Eder Moffett - MoffettNathanson LLC: Hi. Thanks. Charlie, two questions, if it could. One, I wonder if we could just dig into this economics of Sling that you've been talking about a little bit, and if you could just revisit some of the comments you've made in the past about the customer lifetime value of Sling customers versus traditional satellite customers. I know that the customer acquisition cost is obviously dramatically different. But if you could just maybe put some more meat on the bones about the total customer lifetime value and how you think about it? And then second, if you could just clarify for when you talk about connectivity in your wireless business, are you still talking about a narrowband IoT network? Or are you now going back to the more broadband data network that you've been talking about in the past, because I think architecturally they would be quite different?
Charles William Ergen - DISH Network Corp.: And I'll let Tom take that second question, Craig. On Sling, I think it's still a little bit remains to be seen, but the technology of OTT and what we're able to do with Sling and the platform that we have it, we believe that customer will have a longer term life than a linear subscriber in the urban markets. And there are – and so, I don't know, that – obviously, the SAC could be virtually nothing once you get a customer and you get them on your profile, and if he leaves you to come back. And again, the advertising model and the relationship with the consumer through a direct connection, there's a lot of revenue opportunities there that maybe aren't evident today. So I don't think it's proven yet. But we like the technology of what we're able to do with reaching customers through an app, that allows us to do a lot of things beyond just TV. So, with that I'll maybe...
Thomas A. Cullen - DISH Network Corp.: Yeah. Craig, on the wireless side, what Charlie was referring to earlier around 5G and massive connectivity, we view that as more Phase 2 after the 5G standards are defined, after our 600 megahertz spectrum is cleared, and so forth. So that's probably a 2020 and beyond thought. In the interim, we are still focused on the narrowband IoT build as we shared in March with the FCC, had a very good quarter in terms of progress. We've expanded the wireless team considerably. We've finalized contracts with more than one global vendor for radio access equipment and other associated equipment that goes on towers. We're in negotiations right now with several chipset and module vendors, which we hope to finalize in the next couple of months. We've initiated contact with a wide range of tower owners and have begun those discussions as well. So we think we'll have some of those agreements wrapped up early in 2018. So – because of the unique spectrum configuration of meeting our license requirements for both AWS-4 and 700 megahertz, the radios require development. So we've paid those development fees and we would expect to have radios later in 2018 and begin deployment shortly thereafter.
Charles William Ergen - DISH Network Corp.: But that – that's a much – that's a material – that's not a network that's going to be a paradigm shift for our business, right? But it is a network that's going to give us – that is a network that's going to work and going to provide value, and maybe even more importantly, and it's going to – consumers are going to be able to use it and companies are going to be able to use it. But it's the testbed for us to get to that second phase which is basically, it's probably revolutionary, the ability to connect in a way that you just can't today. And we're not saying – we're not totally wireless experts. We don't have 30 years in the wireless business and we need to learn and one of the things that we need to learn and we also need to learn to work with certain companies who become our partners long term. And it's exactly the way we did the satellite business where we still had the same partners, but we start building our first satellite in 1992, we still have many of those same partners, and we didn't really know anything about satellite at that time. And we got a lot of help. And people were willing to help us and people were willing to partner with us. And there's a lot of people in the wireless business that are willing – are doing the same thing. We're appreciative that they want to take chances on us, and we're all in. And I never thought we get a second chance to do something pretty revolutionary. And we're able to do that and we're building that team of people to do that. And there's no guarantee of success, but logically – outhouse logically – there's not any question in my mind that people have to be connected. And I don't understand AI, and I don't understand virtual reality, and I don't understand smart grids. And I don't understand jet engines that download terabytes of data every millisecond. And I just don't understand any of that stuff. There's people in Silicon Valley, I don't understand what they do. But I've never seen one of those guys that can make money without being connected.
Thomas A. Cullen - DISH Network Corp.: So, Craig, just to finalize on that, we're very confident in meeting the March 2020 requirements for those licenses. And we're also encouraged by the growing adoption of narrowband IoT. You've probably seen a number of the global operators announcing deployments already with new consumer products just in the last couple weeks. So there's an opportunity there for us to cooperate with some of those carriers. And we've had those discussions as they start satisfying the needs of multi-national deployments.
Craig Eder Moffett - MoffettNathanson LLC: And just to make sure I understand, so because you won't have the 600 megahertz in time for the 2020 deadline, does that mean that both the downlink and the uplink initially in the IoT network are going to be done in your AWS-4 band and AWS-3? Or is there a different architecture there?
Thomas A. Cullen - DISH Network Corp.: We haven't shared the spectrum configuration that we're deploying, but it will be consistent and compliant with 3GPP.
Craig Eder Moffett - MoffettNathanson LLC: Got it. Okay. Thank you.
Charles William Ergen - DISH Network Corp.: But I think, Craig, we – for 2020 we're certainly looking within the AWS-4 and 700 megahertz bands.
Craig Eder Moffett - MoffettNathanson LLC: So does that mean using 700 megahertz for uplink?
Charles William Ergen - DISH Network Corp.: Who – I didn't hear that? Oh, he's asking about the network.
Craig Eder Moffett - MoffettNathanson LLC: Using the 700 megahertz?
Charles William Ergen - DISH Network Corp.: Oh, we don't – yeah, our 700 megahertz is downlink. Yeah, so 700 megahertz...
Steven E. Swain - DISH Network Corp.: Obviously, we have uplink, but we'll – we're not sharing the configuration.
Charles William Ergen - DISH Network Corp.: I think we have very creative solutions, let's put it that way. But they're not standard radios, which is why we're having to pay develop – why we're paying development fees and stuff to do it right. But it's not material, but it's creative. And so we haven't shared those creative details yet I guess, is fair.
Steven E. Swain - DISH Network Corp.: So operator I think we have time for one more question from the analyst community.
Operator: We will now take our final question from the analyst community. Our final analyst question comes from Jason Bazinet with Citi.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: I just had a quick question for Mr. Ergen, regarding keeping the video business and the spectrum together under one stock. Is that motivated by financial considerations, meaning you need the free cash flow to build something out? Or do you still see strategic merits in keeping them together, even though we're talking more about an IoT network than we were maybe three years ago?
Charles William Ergen - DISH Network Corp.: Yeah, well, realize the IoT space won. So we really – but the answer is yes, we think strategically they go together. We think that the marketplace maybe is a little ahead of their skis on bashing video business. But the biggest use of a modern – the biggest use in terms of data on networks in the future is probably going to be video. So they make sense to being together. Having said that, we're not rigid. I mean if somebody's got a better idea and there's an opportunity and the net-net effect is a positive for our shareholders, we certainly take a look at that. But as we sit here today, those assets were built for a purpose. Those assets go together for a purpose. And we think – we just think that maybe the marketplace is – doesn't appreciate solid foundation of the video side of the business. But we may be wrong, too.
Jason Boisvert Bazinet - Citigroup Global Markets, Inc.: Understood. Thank you.
Steven E. Swain - DISH Network Corp.: Okay, operator. Let's move to the press.
Operator: We will now take questions from members of the media. Our first media question comes from Gerry Smith with Bloomberg News.
Gerry Smith - Bloomberg LP: Yeah. Hi, Mr. Ergen. I'm actually filling in for my colleague Scott Moritz. I want to follow up. You said earlier in the call that you see more options today in wireless for DISH. Are you referring to the Sprint/T-Mobile talks collapsing, and one of those companies possibly being a partner? And then if I might ask a second question. I know you said you didn't want to comment about whether DOJ had called you guys in regarding the AT&T and Time Warner deal. But was wondering if you had any thoughts in general about the AT&T/Time Warner deal and specifically this idea that DIRECTV might get sold off?
Charles William Ergen - DISH Network Corp.: Was that a – you think that's a – I'm just off subject. Do you think that was a question about that? Is that...
Unknown Speaker: Yes.
Charles William Ergen - DISH Network Corp.: Then you owe me $1.
Unknown Speaker: You owe Bernie $5. Thank you very much.
Charles William Ergen - DISH Network Corp.: Sorry, we just have some internal bets here going. And your question is important though, so we'll try to answer it. The optionality, the answer is yes. That in part, if Sprint and T-Mobile are not going to attempt to go together, then that obviously perhaps – or some other option. But that's not the only options that are kind of out there. And I think that there continue to be – as people get a better understanding for connectivity, there continue to be additional kind of options. On AT&T/Time Warner, I can only say in general, my experience has been – you're talking to a guy who the DOJ – that we turned down – they turned down our merger with DIRECTV and, of course, paid at that time one of the largest breakup fees ever. At the time, we didn't have quite that much money. So – but having said that, I've learned through the experience with DOJ that they – that despite may be what you read in the press and everything that it's a pretty – that they actually have a lot of information that perhaps we don't have or the press doesn't have because they do a pretty thorough analysis of things, and the staff in particular, look at it per the law and look at data that we don't have. And despite the fact that I was very disappointed that they turned our merger down, I grew – I had a great deal of respect for what I learned in that process of how they do their job, so I wouldn't ever second guess – I wouldn't say never, but I wouldn't probably second guess the process and we'll see how that merger proceeds. I think by no means is it dead and I think there's certainly maybe ways that they can work it out. So we'll see. But we think there's definitely legitimate concerns about that merger, right? There definitely would be a huge concentration of content and distribution in one company and the net effect of that, as many people have highlighted in the press and to the Justice Department, certainly could have negative impacts on the consumer. And ultimately, their job is to protect the consumers.
Gerry Smith - Bloomberg LP: Thank you.
Steven E. Swain - DISH Network Corp.: Okay. I think there are no other – are there other media questions in queue, operator?
Operator: There are no further questions at this time.